Operator: Good morning and thank you for joining the Lument Finance Trust Second Quarter 2021 Earnings Call. Today's call is being recorded and will be made available via webcast on the company's website. I would like to turn the call over to Charles Duddy with Investor Relations at Lument Investment Management. Please go ahead sir. 
Charles Duddy : Thank you, and good morning everyone. Thank you for joining our call to discuss Lument Finance Trust second quarter 2021 financial results. With me on the call today are James Flynn, CEO; Michael Larsen, President; James Briggs, CFO; and Precilla Torres, Head of Real Estate Investment Strategies. On Monday, we filed our 10-Q with the SEC and issued a press release, which provided details on our second quarter results. We also provided a supplemental earnings presentation, which can be found on our website. Before handing the call over to Jim, I would like to remind everyone that certain statements made during the course of this call are not based on historical information and may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. When used in this conference words such as outlook, evaluate, indicate, believes, will, anticipates, expects, intends, and other similar expressions are intended to identify forward-looking statements. Such forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those contained in the forward-looking statements. These risks and uncertainties are discussed in the company's reports filed with the SEC, including its reports on Form 8-K, 10-Q and 10-K and in particular the Risk Factors section of our Form 10-K. Additionally, many of these risks and uncertainties are currently amplified by and will continue to be amplified by the COVID-19 pandemic. It is not possible to predict or identify all such risks. Listeners are cautioned not to believe undue reliance on these forward-looking statements, which speak only to the date hereof. The company undertakes no obligation to update any of these forward-looking statements. Furthermore, certain non-GAAP financial measures will be discussed on this conference call. A presentation of this information is not intended to be considered in isolation, nor as a substitute to the financial information presented in accordance with GAAP. Reconciliations of these non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP can be accessed through our filings with the SEC at sec.gov. I will now turn the call over to James Flynn. Please go ahead. 
James Flynn: Thank you Charlie. Good morning everyone. Welcome to the Lument Finance Trust earnings call for the second quarter of 2021, and thank you all for joining. This quarter was a busy, important and successful quarter for Lument Finance Trust's growth strategy. During the quarter, we executed several significant capital transactions that allowed us to grow our capital and institutional investor base. At the same time, we made significant incremental investments, observed continued strong performance in our portfolio and maintained distributable earnings consistent with our prior quarters. This all accomplished in an environment marked with uncertain economic data, interest rates, unemployment, asset values, as well as health data with respect to COVID-19 and the variants, specifically the Delta variant now appearing throughout the country and world. The first of our major transactions was the issuance of the perpetual preferred equity that we discussed during our prior call raising $58 million in net proceeds. Secondly, and as previously announced on June 14, we successfully closed a $1 billion CRE CLO. In conjunction with this transaction, we redeemed our two prior CLOs. This new CLO provides us with an attractive leverage and pricing on a non-recourse, non-mark-to-market and match-term basis. Our utilization of the CLO market grew valuable during last year's disruption and we continue to see this as an attractive way to finance our investment portfolio. In closing of this, our largest CRE CLO represents another significant positive milestone in the progression of our growth plans. Importantly, this transaction allowed us to quickly deploy a portion of the proceeds from our preferred equity offering, while still providing favorable economic and structural features to allow for continued growth. The CLO allowed us to increase LFT's total assets on balance sheet by 85% from $567 million as of 3/31 to $1.04 billion as of June 30. In addition, combining our two prior CLOs into a larger single transaction allowed for increased economies of scale and facilitates greater investment diversification. We believe this strong execution for the CLO along with our successful preferred equity offering and the increase in our term loan, reflect noteworthy market and investor interest in our company and in our future. In the coming months, we hope to continue discussions with investors and educate market participants about the LFT and the opportunity we provide for investors. Although LFT is relatively small in the commercial mortgage REIT space, our manager and the larger Lument platform are not. Our manager is one of the nation's largest capital providers in the multifamily and seniors housing space executing over $16 billion in total transaction volume in 2020, servicing a $47 billion loan portfolio and employing nearly 600 employees and over 25 offices nationwide. The scale of this platform benefits the investors of LFT and provides great support in the execution of our investment strategy. As we have continued to show over the last three years, we are utilizing the strength of our manager to focus our investments in middle market multifamily floating rate bridge loans that have continued to perform extremely well even in the very challenging economic environment last year. Although there has been increased competition for these investments with numerous new debt funds entering the space, the breadth of Lument's platform and the strength in multifamily in particular continues to provide us with compelling investment opportunities. During the last three months since our preferred offering, we have invested over $530 million in new floating rate bridge loans, showing our ability to quickly deploy substantial amounts of newly raised capital. This strong deal flow is driven by the expansive origination capabilities of our manager. In addition, we have seen tremendous transaction activity in the first half of the year as the market responds to the COVID recovery, albeit tempered by the recent increases seen in cases around the country. As we continue to grow, we will also identify other investment opportunities in commercial real estate debt to diversify and invest a portion of our capital into asset classes such as preferred equity mezz loans and other high-yield debt securities. While we are proud of the capital raising and deployment achievements this quarter, it is important to acknowledge that our focus in multifamily bridge lending and the strength of our credit and asset management platform have led us in our portfolio to continue to perform admirably. As of June 30, our loan portfolio was 100% performing with no loan impairments, no loan defaults and no loans subject to forbearance. Furthermore, we have not granted a single forbearance, nor we experienced a single loan default during the COVID era. I believe this is a testament to both our rigorous credit standards as well as our proactive asset management efforts.  And perhaps, most importantly, our ability to continue to execute our business plan is reflected in our results. Our distributable earnings for the quarter was $0.11 per share consistent with last quarter. Inclusive of this quarter, we have produced $0.43 per share of distributable earnings over the prior four quarters representing consistent earnings that provides strong support for our dividend. When this management team took over as manager of Lument Finance Trust in January of 2018, we were clear on our goal of deploying our capital into commercial real estate debt investments with a focus in multifamily in order to provide stable earnings that support a market return to our shareholders. We also indicated our desire to grow LFT to a larger scale which we felt would provide value to our shareholders. With the recent CLO refinance and preferred offering, we are continuing to make progress towards these goals and I am excited about our continued growth as we focus on executing the business plan. With that, I'd like to turn the call over to Jim Briggs who will provide details on our financial results. Jim?
James Briggs: Thank you, Jim, and good morning everyone. On Monday evening we filed our quarterly report on Form 10-Q and provided a supplemental investor presentation on our website which we will be referencing during our remarks. The supplemental investor presentation has been uploaded to the webcast as well for your reference. On pages 5, 6 and 7 of the presentation, you will find key updates and an earnings summary for the quarter. For the second quarter of 2021, we reported net income to common stockholders of approximately $955,000, or $0.04 per share, which represents a decline relative to Q1 2021, net income to common stockholders of $2.8 million or $0.11 per share. However, the current quarter was meaningfully impacted by certain non-distributable earnings adjustments. After adjusting for these non-distributable items, LFT's distributable earnings per share of common stock was $0.11 per share, which, as Jim mentioned, is in line with the prior quarter. The first of these adjustments was $1.7 million or $0.07 per common share loss on extinguishment of debt. This loss on extinguishment of debt was caused by the unwind of Hunt CRE 2018-FL2, which was refinanced during the quarter. The $1.7 million loss represents an acceleration of deferred financing costs, incurred at the closing of Hunt CRE 2018-FL2, which were not yet amortized to interest expense at the time of the refinance. As of June 30 and as of today, the company does not expect any additional losses or expenses associated with either of LFTs to previous CRE CLOs. There were two other non-distributable items experienced during Q2. The first of these was $220,000 unrealized loss on mortgage servicing rights, which was driven by higher realized prepayments fees in our legacy, residential, MSR portfolio. I'd like to note that as of June 30, the carrying value of our legacy MSR asset was less than $700,000 and therefore we do not believe that any future changes in the value of this asset to be a meaningful driver of earnings. The final non-distributable item incurred during Q2, was a $54,000 income tax benefit associated with activity at our taxable REIT subsidiary. In his opening remarks, Jim mentioned the successful closing of a preferred equity offering on May 5 and the successful closing of our CLO refinance on June 14. As we work to deploy the proceeds from these transactions, we may see short-term declines in our net income and distributable earnings to common shareholders over the current months -- coming months. We expect any such declines to be transitory in nature. We do not anticipate any negative impact to our medium-term or long-term earnings outlook. However, this risk does exist in the short term for some drag on net income to common stockholders during this capital deployment phase. Our total stockholders' equity at June 30 was $170.1 million, which represents a $56 million increase relative to the prior quarter's total stockholders' equity of $114.2 million. This increase was driven by the successful execution of our preferred equity offering during the quarter, as previously discussed on the call. Our common book value per share was $4.41 as of June 30. This represents a $0.17 per share or 3.7% decline relative to the March 31 common book value per share of $4.58. With regards to this decline, I would like to note that, the book value per share of common stock is net of $2.7 million or $0.11 per share of preferred stock offering costs incurred during the quarter. Book value per share of common stock was also negatively impacted by the $1.7 million loss on extinguishment of debt that I previously referenced. Excluding the impact of these nonrecurring items, LFT's book value per share of common stock would have increased by $0.01 per share quarter-over-quarter. As discussed in prior quarters, I would like to remind everyone that as a smaller reporting company, as defined by the SEC, we have not yet adopted ASU 2016-13, commonly referred to as CECL, or Current Expected Credit Losses, which is a comprehensive GAAP amendment of how to recognize credit losses on financial instruments. As a smaller reporting company, we are scheduled to implement CECL on January 1 2023. Until then, we continue to prepare our financial statements on an incurred loss model basis. As of June 30, we do not consider any of our loans to be impaired under the incurred loss model and we have not recorded any impairments or allowance for loan losses in the current quarter. While the current performance of our bridge loan portfolio remains healthy, uncertainty about COVID-19 recovery exists, including its impact on our borrowers and on the value of the properties that collateralize our commercial mortgage loan investments. We will continue to evaluate the loan portfolio for credit losses and will record any impairments or allowance as incurred. As a quick note, with respect to our common dividend in accordance with normal course timing and process, we have not yet made a dividend declaration for the third quarter of 2021. We expect to make a determination of our dividend in September after discussing with our Board in normal course. I will now turn the call over to Mike Larsen, who will provide details on our portfolio composition and investment activity.
Michael Larsen: Thank you, Jim, and good morning, everyone. As Jim mentioned, the last several months have been very active from an investment standpoint. During Q2, we acquired 41 investments from an affiliate of our manager, with a total UPB of $303 million. These acquisitions consisted of 23 loans with an aggregate UPB of $289 million, and 18 participations related to loans already owned by LFT, with a total combined UPB of $14.5 million. 82% of these acquisitions during the quarter were secured by multifamily assets, 17% were secured by self-storage assets, and 1% were secured by office. The Q2 acquisitions had a weighted average spread to LIBOR of 379 basis points, a weighted average LIBOR floor of 113 basis points, and weighted average LTV at origination of 67.2%. We experienced $175.8 million of loan payoffs during the quarter. And at quarter end, our total loan portfolio had outstanding principal allowance of $611.5 million. The portfolio consists of 44 loans with an average loan size of $14 million, which provides for significant asset diversity. Our portfolio has weighted average spread to LIBOR of 366 basis points, 98% of the loans in our portfolio have a LIBOR floor above the current spot LIBOR rate with weighted average floor of 132 basis points. Our overall loan portfolio at quarter end was 85% multifamily, down slightly from prior quarters, due primarily to our investment this quarter in self storage. Self-storage represents 9% of our portfolio at quarter end compared to 1% in Q1. Meanwhile, our retail exposure decreased from 7% to 4% of the portfolio. We believe that generally self-storage and industrial property types provide the least volatility and performance outside of multifamily. Typically, our self-storage debt investments are related to top national operators are in markets with per capita existing supply below the historical national average of seven square feet per capita. Furthermore, we focus on moderately leveraged assets as reflected by the weighted average LTV of 61% on our self-storage portfolio. Despite this increase in self-storage investments, due to our managers strong focus in multifamily, we continue to anticipate that the majority of our loan activity will be related to multifamily assets. However, we will look to supplement our multifamily portfolio with quality investments and other asset types that can offer a strong return profile relative to multifamily. Turning to the recent CLO issuance. In aggregate, approximately $834 million investment-grade related notes were issued and sold to institutional investors, while LFT retained subordinated interest in the CLO of approximately $166 million. This represents an extremely attractive advance rate of 83.375%, which compares favorably to an average advance rate of 78.3% on LFT's prior CLOs as of March 31. The offered notes had an initial weighted average spread of 143 basis points over one-month LIBOR, excluding fees and transaction costs, which is very consistent with the cost of our prior CLOs. The new CLO has a 30-month reinvestment period running through December of 2023 that allows principal proceeds from repayments of mortgage assets to be reinvested. In addition, the initial collateral for the CLO includes approximately $314 million of ramp, which will be used to acquire additional loans or participations over the first 180 days. Just as a reminder, we not currently utilize repo or warehouse facility financing at LFT and therefore, we are not subject to margin calls on any of our assets from repo or warehouse lenders. Subsequent to quarter end on slide 29, the company acquired an additional $250 million of multifamily loans from an facility of a manager at a weighted average interest rate of LIBOR plus 337 basis points, and a weighted average LIBOR floor of 17 basis points. These incremental acquisitions have allowed us to deploy a significant portion of the capital we raised during the quarter through our preferred offering in CLO. In general, market confidence and an economic recovery from the COVID environment has positively impacted bar demand for bridge loans during the year. With these improved market dynamics, and the increase in our pipeline we feel positive about our investment opportunities. In the short term, we anticipate deploying the proceeds from our recent capital raises of the remainder of 2021, and are confident in our ability to keep our capital fully deployed ongoing. With that I'll pass the call back to Jim.
James Flynn: Thank you, Mike. As I mentioned earlier, we feel we're making great progress in our business plan and our growth and are excited about the future of LFT. We look forward to updating you all on our progress and appreciate your time and interest today. With that I'll ask the operator to open the call for questions.
Operator: Thank you. We will now begin the question-and-answer session [Operator Instructions] And the first question will come from Christopher Nolan with Ladenburg Thalmann. Please go ahead.
Christopher Nolan: Hi. Thanks for taking my call. Jim Briggs, the comments that you had on the decline in near-term earnings, given the rollout of assets in the third quarter to date, what would be the catalyst for that decline? 
James Flynn: The decline in the second quarter earnings. I'm sorry, Chris just to be clear on that.
Christopher Nolan: Yes. No I thought he was commenting that in near-term coming quarters we could see a decline in earnings what he talked about.
James Briggs: Yes. So I was on mute Jim. Yes in my comments I just mentioned that there is still capital to be deployed. And as a result of that we could see a drag.
Christopher Nolan: Okay. And then I guess two follow-up questions. One is on the addition of self-storage. Do you guys anticipate this becoming a significant part of your strategy above what we're currently at or just sort of a stake levels?
James Flynn: No. So I wouldn't describe it as a significant component. What I would say is our floating rate bridge program since this management team has been executing that platform, which predates are taking over the management of LFT. We've always had a multifamily housing focus. So 80%, 90%, maybe a touch under 80% in certain periods. And that's generally been the way that we viewed the business going forward to LFT. And so self-storage is not something that – it's something we've continued to put on our own balance sheet as – just for yields and attract the product that we feel like we know well. The size of LFT over the past – or just in general but certainly since we've taken over management has limited our ability to generally diversify. But I think, as we stated, multifamily and housing in general is our bread and butter and I would expect it to continue to be maintained at or about the current levels or more. This uptick is largely related to doing the equity offering having a large portfolio of assets that we were able to immediately deploy capital that was raised by moving assets from the manager's balance sheet into the REIT at one time. So I think it's – I think it perhaps looks a bit overstated because of that. But in general, I would expect to stay at or below the levels meaning the self-storage and non-multi asset classes to stay at that somewhere south of 20%, 30% for – at the most in the…
Christopher Nolan: Okay. Final question. Leverage ratio...
Michael Larsen: And I'll just... 
Christopher Nolan: Please go ahead. 
Michael Larsen: So I was just going to add to that. Just – I mentioned that we did – subsequent to quarter end acquired $250 million of additional multifamily assets in July. And just to add to what Jim said, if you include those acquisitions as of the end of July, the portion of our portfolio investment in self-storage is now at 7% – or was at the end of July 7% and multifamily at 89%. So that was consistent with what Jim said. We'll supplement multifamily investments but don't expect it to be significantly more than what you see.
Christopher Nolan: Great. And final question leverage ratio. What's the target leverage ratio going forward? And does that include the preferred stock in the equity part?
James Flynn: Yes. So, the -- I mean depending on what you want to look at for total leverage but we would look at both total equity and common. We continue to believe that we're -- for our size, our leverage is, we feel appropriate, because of the type of leverage that we utilize, the non-recourse turndown, financing of the CLOs, the favorable and standard term loan and even our preferred equity being perpetual with no put rates. In general, we think we're -- overall, our leverage ratios are on the high side of market as we grow and continue -- and we do expect to grow and continue to look and seek to raise new capital. The general expectation would be to raise capital that would help reduce that leverage ratio to more in line in the middle of the market.
Christopher Nolan: Great. That’s it for me. Thank you.
Operator: The next question will come from Chris Muller with JMP Securities. Please go ahead.
Chris Muller: Hi. Thanks for taking the question, and congrats on the two transactions this quarter. So, I guess following up on that a little bit. Can you guys talk about maybe what kind of loan capacity size you have following those two transactions, or said a different way, what is the fully deployed portfolio size?
James Flynn: Well, the fully deployed portfolio size of loans would be $1 billion just north. Yes. So from the standpoint of -- the only thing -- not the only thing but one of the benefits of the larger transaction allows us to execute larger deals. And that's largely due to just general diversification number of loans, size, geographic concentration, et cetera. So we can deploy the capital in a wider range of assets. But it's roughly $1 billion.
Chris Muller: And then, with repayments they looked a little high this quarter. Was there anything behind that? And then, do you have any thoughts of what repayments will look like for the rest of the year? Thank you.
James Flynn: And Precilla can offer a few. I don't think there was any magic to what happened, other than you had notwithstanding the Delta variant and some of the concerns around COVID that are elevated again. I think you probably had some bit of managers holding off a bit because of uncertainty and not wanting to go into a permanent financing until they had more clarity on asset performance and overall economic health that might have facilitated some guys perhaps waiting a bit longer. But in general, I don't think -- Precilla, you can offer your thoughts on this. But I don't think there was any particular catalyst to say, hey, we need to prepay and get this refinanced. People are concerned about rates but we could probably go back and listen to these calls, for the last couple of years and have generally said, people are concerned about rising rates many of those quarters. So, I'm not sure that's a real true narrative. But maybe Precilla, if you have other thoughts there.
Precilla Torres: Sure. I would say the prepayment rates, to Jim's point is fairly consistent. I will note that perhaps one factor to consider if there was a bit of a -- obviously last year with COVID, there wasn't much activity on either the acquisition or financing side. And so there might have been a little bit of a delay if you will, prepayment level -- from the perspective of -- there were prepayments that probably should have happened last year, but were pushed off a little bit. So there was a bit of that, but I would not say in a material amount.
Chris Muller: Great. Thanks for taking the questions.
James Flynn: Thank you.
Operator: [Operator Instructions] This will conclude our question-and-answer session. I would like to turn the conference back over to James Flynn for any closing remarks. Please go ahead, sir.
A - James Flynn: Thank you. I just want to thank everyone for your continued interest in LFT. I look forward to speaking again next quarter. And please reach out if you have any other questions and we'll talk to you soon. Thanks all.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.